Operator: Greetings and welcome to the Alcon First Quarter 2023 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce our hosts Dan Cravens, VP, Investor Relations. Thank you, sir. You may begin.
Dan Cravens: Welcome to Alcon's first quarter 2023 earnings conference call. Yesterday we issued a press release an interim financial report and posted a supplemental slide presentation on our website to enhance this call. You find all these documents in the investor relations section of our website at investor.alcon.com. Joining me on today's call are David Endicott our Chief Executive Officer; and Tim Stonesifer. Our Chief Finance Officer. Our press release, presentation and discussion will include forward looking statements. We expressly disclaim any obligation to update forward-looking statements as a result of new information or future developments, except as required by law. Our actual results may vary materially from those expressed or implied in our forward-looking statements. Accordingly, you should not place undue reliance on any forward-looking statements. Important factors that could cause our actual results to differ from those and our forward-looking statements are included in Alcon's Form 20-F and our earnings press release and interim financial report on file with the Securities Exchange Commission and available on the SEC's website at sec.gov.  Non-IFRS financial measures used by the company may be calculated differently from and therefore may not be comparable to similarly titled measures used in other companies. These non-IFRS financial measures should be considered along with but not as alternative to the operating performance measures as prescribed for IFRS. Please see a reconciliation between our non-IFRS measures, with directly comparable measures presented in accordance with IFRS and our public filings. For discussion purposes, our comments on growth are expressed in constant currency. In a moment David will begin by recapping highlights from the first quarter. After his remarks Tim will discuss our performance and outlook for the remainder of the year. Then David will wrap up and we will open the call for Q&A. With that, I will now turn the call over to our CEO, David Endicott.
David Endicott: Thanks Dan, and welcome to Alcon's first quarter 2023 earnings call. 2023 is off to a great start. We benefited from solid demand, strong commercial execution and pricing improvements across both our franchises which resulted in double digit sales growth for the company in the quarter. In addition, we delivered a core-operating margin of 20.6% and a core-diluted earnings of $0.70 per share. In surgical, we had another strong quarter despite challenging comparisons in South Korea. In implantables recall that last year there was a change in PCIOL reimbursement Korea, which increased demand during the first quarter. This change has made PCIOL out of pocket expense higher for many Korean patients, and as a result, local demand has since raised. If we exclude the impact from Korea, which we estimate to be approximately $47 million total implantable sales were up roughly 5% on a reported basis and approximately 9% on a constant currency basis. More broadly, we have continued our ATIOL market leadership for another quarter with approximately half of the global market and two-thirds of the U.S. market despite increasing competitive activity. In Equipment we continue to upgrade and expand our installed base with the CENTURION and LEGION devices. In the first quarter our team delivered a record number of new phaco machine installations since been. Importantly, there remains a sizeable installed base of Legacy, Infiniti, Laureate and other machines in international markets. Accordingly, we see continued opportunity for growth in 2023. Additionally, we continue to grow in Diagnostics and we're pleased with our win rate with the Argos Biometer. Argos helps deliver clinic to OR connectivity and results from real-world study highlight that Argos delivers significant time efficiencies for patients during cataract evaluation.  We started rolling out Argos across international markets and customer reception has been positive. Additionally, customers continue to be pleased with the performance of Centurion with Active Sentry, which enhances safety and confidence during surgery. Importantly, as we upgrade and expand our equipment in installed base, we see a natural uplift in consumables, where we've also taken some select price increases. At the recent ASCRS conference, Alcon innovations were featured in approximately 180 abstracts across cataract, refractive and glaucoma surgery as well as visualization in ocular health. As a leader in the ophthalmic surgical space, we're committed to improving patient outcomes and surgeon efficiency by accelerating the pace of innovation.  There are two important studies for the conference I thought I'd like to highlight. First is on Clarion. Data presented at the conference evaluated a head-to-head comparison of distance and intermediate vision of Clarion and a competitive monofocal plus IOL. This study concluded that Clarion provides excellent distance and no statistically significant difference in intermediate vision potentially offering superior value to the competitive lens. At the conference, we also expanded our connected equipment ecosystem with the introduction of enhanced visualization and data integration. Diagnostic images from the Argos biometer with image guidance are now connected to the newly available NGENUITY 1.5 to precisely overlay incisions, Capsularexis, IOL centration and toric alignment.  Data presented at the conference shows that this integration is increasing efficiency and reducing manual errors. This helps surgeons work faster while improving their confidence in delivering better patient outcomes. Given the post-pandemic surgical backlog, these improvements are critically important. Lastly, data presented on our Hydrus Microstent reinforced that Hydrus offers long-term glaucoma medication reduction, as well as reduction of intraocular pressure. It's important as surgeons consider which stent to recommend to their patients. Additionally, governments and health care payers consider this type of data as they determine which products and procedures to reimburse.  Now I'll move to Vision Care, where we had a strong quarter in both contact lenses and ocular health. In contact lenses, we're seeing the benefit of our expanded product portfolio, which now includes sphere, toric and multifocal options for value, mainstream and premium customers in both daily and reusable categories. We continue to see meaningful share gains driven by our new toric product launches, including Precision1, Total30 and Dailies Total1. We introduced Total30 for astigmatism in the first quarter. This is the first reusable lenses water gradient technology created specifically for astigmatic wearers and initial customer response has been exceptional. Total 30 toric is currently available in the U.S. and parts of Europe, and we anticipate expanding availability to additional markets throughout 2023. Turning to ocular health. We continue to integrate Aerie into the Alcon family. Our U.S. eye drop sales force has already added Rocklatan and Rhopressa to their promotional program, which contributed nicely to our Vision Care growth this quarter. In addition, we saw growth in our over-the-counter portfolio, mainly driven by favorable pricing and sustained family of products. Finally, in contact lens care, while we continue to navigate supply challenges, we feel increasingly confident about our progress towards resolution in the back half of the year.  Now I'll provide an update on our end markets. In Surgical, global cataract procedures were up mid-single digits in the first quarter versus prior year. Global ATIOL penetration in the quarter was down 30 basis points versus prior year. However, excluding the impact from Korea, global penetration was up 90 basis points versus prior year and up 40 basis points sequentially. And we're following penetration trends closely and continue to expand programs that digitally and conveniently educate patients about their lens options early in the cataract journey. Based on recent survey data, we estimate that U.S. ATIOL penetration could go as high as 35%. So with current penetration in the high teens, we believe there's plenty of runway for value creation.  Moving to contact lenses. Retail market growth was up high single digits. In the quarter, we saw a steady wear trade-up and meaningful contribution from price increases. Now, before I pass it to Tim, I want to briefly comment on our market outlook for the remainder of the year. And on our February earnings call, we indicated that we were planning for a modest slowdown in full year market growth. During the first quarter, global ATIOL penetration was resilient and contact lens trade-ups and price capture were both strong. Historically, our markets have grown around 5%. And given current macroeconomic news, we believe it's prudent to assume market growth at or slightly below historical rates in the back half of the year. However, we continue to expect positive contributions from market share and price. And as a result, we expect to grow faster than the market.  With that, I'll turn it over to Tim, who will take you through our financial results and provide more color on our outlook.
Tim Stonesifer: Thanks, David. We're pleased to report first quarter sales of $2.3 billion, up 11% versus prior year. This growth was primarily driven by strong demand for our products, including products from acquisitions as well as solid commercial execution. Additionally, our first quarter sales results reflect positive pricing across our business, particularly in consumables, contact lenses and ocular health. Overall, we estimate that these price increases drove approximately one-third of our top line growth. Our first quarter U.S. dollar sales growth included approximately 400 basis points of pressure from foreign currency. Starting with our surgical franchise, revenue was up 8% year-over-year to $1.3 billion. Implantable sales was $427 million in the quarter, down 3% year-over-year, primarily due to declines in PCIOL sales in South Korea, which David mentioned in his remarks.  Excluding the impact from Korea, implantable sales continue to outpace the market and were up approximately 9% on a constant currency basis. We expect a minor residual impact from Korea of approximately $10 million in the second quarter due to the demand rebasing that David mentioned. In consumables, our first quarter sales were up 13% to $656 million. This strong growth primarily reflects favorable market conditions as well as pricing. In equipment, sales of $221 million were up 14% year-over-year due to continued strong demand for cataract and Vit-Ret devices, particularly in international markets as we upgrade and expand our installed base. While our first quarter results were strong, we expect our equipment year-over-year growth rate to moderate in the remainder of 2023.  Turning to Vision Care. First quarter sales of $1 billion were up 16%. This growth includes approximately 5 points of contribution from the ophthalmic pharmaceutical products we acquired in 2022. Contact lens sales were up 14% to $615 million in the quarter. This growth reflects the continued strength of our innovative portfolio of SiHy lenses. Importantly, we saw double-digit growth in both the daily and reusable contact lens categories. As I mentioned earlier, first quarter contact lens growth also reflects price increases. In ocular health, first quarter sales of $414 million were up 19% year-over-year. This growth was primarily driven by our portfolio of eye drops, including Rocklatan and Rhopressa, as well as price increases across our over-the-counter products, including Systane and Pataday. Now moving down the income statement. First quarter core gross margin was 63.4%, up 160 basis points on a constant currency basis. This growth was driven by higher sales and manufacturing efficiencies from higher volumes, partially offset by unfavorable product mix from lower PCIOL sales in Korea. We expect gross margin to be pressured in the remainder of 2023 as we sell inventory that was manufactured with a higher cost base due to inflation and as we lap last year's price increases. Core operating margin was 20.6%, flat versus last year on a U.S. dollar basis, but up 130 basis points on a constant currency basis. The constant currency growth was mainly driven by higher gross margin and improved underlying operating leverage from higher sales, partially offset by higher investment in R&D following the acquisition of Aerie. As we commented on in the past, we expect to see seasonally higher marketing and sales spend in the second and third quarters for the peak summer and back-to-school season. First quarter interest expense was $47 million compared to $29 million last year, driven by higher debt following the funding of the Aerie acquisition and less favorable interest rates. The first quarter core effective tax rate was 18.4% compared to 15.9% last year, primarily due to the mix of pretax income across tax jurisdictions and a decrease in the tax benefit associated with discrete items. Core diluted earnings per share were $0.70 in the quarter, up 14% from last year on a constant currency basis. Before I touch on our outlook for the remainder of the year, I'll discuss a few cash flow and other related items. Free cash flow for the quarter was an outflow of $19 million compared to an outflow of $52 million last year. The improvement is mainly driven by better cash flows from operations and lower capital expenditures. Similar to past years, we expect free cash flow to be stronger in the remainder of the year as the first quarter includes the annual associate incentive payment. Additionally, we paid the legal settlement we mentioned on our last earnings call in April. On a full year basis, we continue to expect to generate more free cash flow this year as compared to 2022. Transformation costs were $26 million in the quarter and $314 million like to date. We continue to expect to wrap up the entire transformation program by the end of the year.  Before moving to our outlook, I'm pleased to report that at our Annual General Meeting last week, shareholders approved the dividend of CHF 0.21 per share, in line with our payout policy of approximately 10% of the previous year's core net income. I want to thank our shareholders for their continued support of Alcon. Now moving to the 2023 guidance. Our current outlook assumes that markets grow at or slightly below historical averages in the back half of the year. Exchange rates as of mid-April hold through year-end, and inflation and supply chain challenges continue through 2023. Based on the strong momentum in the business, we are increasing our year-over-year constant currency sales growth guidance to 7% to 9%. This growth is partially offset by incremental FX headwinds based on currency movements against the dollar, which we expect to pressure sales by approximately 70 basis points versus prior year. As a result, we are maintaining our U.S. dollar net sales guidance for 2023 at $9.2 billion to $9.4 billion. Moving to core operating margin, we are maintaining the range of our full year outlook of 19.5% to 20.5%. We now expect interest and other financial expense to be between $245 million and $255 million. Relative to the first quarter, we expect an increase in other financial expense primarily due to higher hedging costs and the lower financial income. We are maintaining our core effective tax rate guidance of 17% to 19%. Finally, we're raising our core diluted EPS constant currency growth outlook to 20% to 24% due to the strong performance in the first quarter. This growth is offset by approximately $0.12 of FX headwind versus prior year. As a result, we are maintaining our core diluted EPS guidance of $2.55 to $2.65 per share. Based on our strong first quarter results and current assumptions, we are now trending toward the high end of our guided EPS range.  To summarize, I'm very pleased with the momentum we've built at the start of the year, and it's clear that our business is performing well. As we look forward, we will continue to focus our efforts on driving innovation and delivering above-market sales growth. Lastly, I'd like to take this opportunity to thank all of our team members for another quarter of outstanding results.  With that, I'll turn it back to David. 
David Endicott: Thanks, Tim. To wrap up, we're very pleased with our start to the year. We continue to build momentum with our new product launches and our team continues to execute well. As a result, we're winning with customers and driving above-market growth. We also continue to deliver operating leverage in line with our financial thesis. So looking forward, our focus remains on accelerating innovation, driving top line growth and creating shareholder value. With that, operator, let's open the call up for Q&A.
Operator: [Operator Instructions] Our first question comes from Anthony Petrone with Mizuho Group. Please go ahead.
Anthony Petrone: Thanks, and congrats to a strong start to the year here. I'll have two questions here. The first will be just, Dave, maybe just a little bit on the premium IOL comments. Your competitor reported earlier a couple of weeks ago, some pressure that they commented in the premium IOL space here when we exclude South Korea plus 9 is ahead of our expectation. So maybe specifically, can you comment on the share dynamics within premium IOLs and then maybe a little bit of a compare and contrast as to what Alcon saw in the marketplace versus competitor? And I'll have one quick follow-up.
David Endicott: Yes, Anthony, thanks. On the premium market, we follow penetration pretty closely. And as I think I said in the notes there, we were up 90 basis points if you exclude Korea, so 11.5% to 12.3% globally. And sequentially, we saw good moves sequentially, again, 40 basis points of penetration up when you exclude Korea again. Now, that said, the -- there's lots going on in the market. There's a number of share players moving around. We've obviously finished very strong with kind of the majority of the ATIOL business and kind of a two-thirds, if you will, of the PCI business. But notwithstanding that, we felt like we had a pretty good quarter. I think the Korea thing is a bit confounding and you do need to back it out. So I think that will clean itself up in the third quarter. So you get some pretty clean looks going forward, third, fourth quarter.
Anthony Petrone: That's helpful. And then maybe one for Tim, just on margins, and I'll get back in queue. The 20.6% ahead of expectations. Just to clarify there; was there any selling day impact there? And then when we look at the bridge heading into year-end, 20.6% in the quarter versus the range, maybe just a little bit on the cadence for the next three quarters on how margins should play out. Again, congratulations.
Tim Stonesifer: Yes. Thanks a lot. Yes, I don't think there's a billing -- a comp issue there. As far as the phasing goes, I would think about the year this way is starting with revenue. Q1 revenue is a little bit noisy I call it because you've got the Korea comp issue. You've got the Omicron in North America we had a little bit of an effect there. So what I'd probably do there is I take whatever you think between that $9.2 billion and $9.4 billion range. I take out the Q1 revenue and then I would trend it very similar to how we trended last year, and that's how I'd layer in your revenue number. If I work my way down gross margin, we were pleased with the gross margin this quarter. There's no doubt about it. We saw some nice expansion there. We do have the benefits of some lower cost inventory in there. We also have the benefit of some price lapping in there. So if you recall, last quarter, when we gave the guide, we said that there would be a little bit of improvement in gross margin for the total year. So I would kind of bring that down to whatever you feel comfortable as far as that improvement is. On the R&D, I'd say we finished Q1. We were at 8.5%. As we said last quarter, we think we'll be at the higher end of that 7% to 9% range. So we take that into consideration. And then as we said in the script on the TFCs, Q2 and Q3 are typically higher for us as we invest behind back-to-school initiatives and things like that. So I would probably layer that in. And then lastly, on the interest expense, we did bring down the overall interest expense. Q1 was a little bit favorable. So I would take whatever you think the range is between that $2.45 and $2.55. Again, I back out Q1 and then I would just level load that, and that's how it sort of phase the year.
Anthony Petrone: Thank you much.
Operator: Our next question comes from Matthew Mishan with KeyBanc Capital Markets. Please go ahead.
Matthew Mishan: Good morning. And thank you for taking the questions. Just on the contact lens side, have you got -- it's just really hard to understand the difference between the kind of fourth quarter performance and the first quarter performance and kind of how consumers are kind of acting. Do you have any data on what drove purchasing activity -- three months ago what drove it? This quarter is it a regional inflection maybe outside the U.S.?
David Endicott: Matthew, let me give you what we do know, and I think what I could tell you is we're very pleased with our fourth quarter performance. I know that there was some concern around the unit volumes in the U.S. I don't think that was really well deserved. I think you got to remember that most of the value in the contact lens market is the trade up to dailies, and I think we saw a pretty solid market in the fourth quarter. We saw for our own performance, we were happy with it. We obviously we're hitting on all cylinders in the first quarter, continue to see steady trade-up from consumers, continue to see, in particular, volume growth for us. So read that as -- we think we grew faster in volume share than our competitors. And I think we picked up a little price in there as well as we try and offset some of our input costs. So -- when you -- most of the market was putting some price in play in the first quarter. So again, I think you're going to see everybody's number kind of exceed what you'll see in the audited data. And again, I'd be careful with the audited data because its retail, not factory and the read-through on that takes a little bit of time. So I would -- there's going to be some gaps in there and there always is. So I think we had a good fourth quarter. We had a very good first quarter. And I think what I'm really encouraged about is the uptake in Total 30 toric in the U.S. contact lens business, in particular, had a very, very good quarter.
Matthew Mishan: And then excellent and then just like more technical question. When you're talking about like inventory and getting through cost of -- low-cost inventory moving to high-cost inventory on the Vision Care side versus the surgical side, just how many months of inventory do you typically hold so we can kind of get a sense of when that drag may go away.
Tim Stonesifer: Yes. I would say, in general, from a total company perspective, it probably takes five or six months for the inventory to go off the balance sheet into the P&L.
Matthew Mishan: All right. Thanks Tim.
Operator: Our next question comes from Jeff Johnson with Baird. Please go ahead.
JeffJohnson: Thank you. Good morning, guys. Maybe two questions on contact lenses and on pricing. So Tim, you've said now a couple of times lapping some price increases from last year. But I think on this call, you've been as overt as I've heard you in a long time on price probably added almost 3 points to the company-wide that you were getting pricing across contact lenses, ocular health. And on the consumable side in surgical. So it sounds like some new price increases have gone in just in this quarter, we clearly heard that in contact lenses, especially. But I'm just trying to reconcile that with you talking about lapping these price increases. So help us understand kind of the gating of price increases over the next 12 months versus what maybe you saw over the past 12 months.
Tim Stonesifer: Yes. Let me take that, Jeff. The price increase lapping that we're talking about, we had a price increase this time last year, I think it was December or January. So for about six weeks of the quarter, January and part of February, we had two price increases in play. And so that was -- that's really what we're talking about we say lapping. So we had kind of a double up there. That won't recur, I think, going forward, unless we take an additional price increase, which we don't currently have a comment on. I think directionally, where we believe this is going is -- we're trying to be as sensitive as we can to the consumer and at the same time, offset some of our raw material inputs and our input costs, as we all know, have gone up quite substantially. So I think we feel good about the ability -- our ability to take price during this period. And the market took price. We were very much right on top of the market. So I don't think we were out of line either one direction or the other. And we were pleased with how accepting the customer groups were. I think we've typically talked a little bit about price leakage, and we got a little bit better performance from what we would have expected historically. So I think people are kind of willing to take and understand why we're taking some price increases. So that's helped us a little bit in the quarter.
JeffJohnson: Understood. And then -- so does that 3% price or so, I think that's what you were trying to signal in the prepared remarks. Does that 3% price look back to plus two over the rest of the year as some of these price increases continue? And when you were talking about volume growth in contact lenses above market, is that all coming on eye share that is increasing or are you finally starting to see maybe a more rapid kind of trade-up within your own user base that's helping those volumes? So just help us understand kind of the trade-up dynamic versus eye share during the quarter. Thanks.
Tim Stonesifer: Yes. We had a very good -- on the second one, it was principally share -- we obviously get some trade up from our own business. We probably have a little bit of cannibalization, but we were very pleased with the amount of share gain that we had in the quarter. So I think directionally, I would read that as volume is principally share gain. The second piece was on the price for the rest of the year. I would expect that the price settles down a little bit from the first quarter because we did have a little bit of a lapping and that we see some price for the rest of the year, but it kind of moderates towards the end of the year. 
JeffJohnson: Thank you.
Operator: Our next question comes from Ryan Zimmerman with BTIG. Please go ahead.
Ryan Zimmerman: Hi, guys. Congrats on the quarter. Just two for me. Just Dave, you had previously, I think, on the fourth quarter call, assuming that cataracts would be weaker in the first quarter, yet the market does appear to be stable net of Korea. Is there anything to suggest that demand pulled forward here? And just how to think about cataract demand or market volumes for the remainder of the year given this dynamic relative to your assumptions? 
David Endicott: Well, Ryan, I think what we believe and I hope I communicated in the first quarter was that cataract volumes are generally pretty stable, even in a recession kind of environment, we still see the cataract volumes. What we've said is that implantables, the trade-up from a monofocal to an ATIOL, we've never seen that in a kind of a heavy recession environment. So we were unclear as to what was going to happen. And again, we made some assumptions. None of that really occurred in the first quarter. So volumes was very stable and trade-ups looked pretty much consistent with what we've seen in the past.  So directionally, I would expect cataract volumes to stay pretty stable. And the only thing I would think about is if there is a real pullback in the consumer does it have an effect on ATIOLs. We really don't know that, and we really haven't forecasted much of one. So I think we feel pretty good about the positive forward momentum that we have in penetration. And I think as we kind of get beyond Korea this next quarter, maybe two quarters away, you'll really get a cleaner view on the back half of what's happening with both of those things. But I think a reasonable assumption, I think, at this point is the cataract market will remain in that kind of 4% to 5% range, kind of that's typically what we've seen historically, and we've always said it would be a little hotter after COVID because we get a little bit more folks back into the market. So it feels pretty much like that now. 
Ryan Zimmerman: Okay. And then real quick for me. The 7% to 9% underlying growth assumption, Aerie did, by my math, 470 basis points, roughly 500 basis points. If I take that forward, I'm kind of coming out to about 180 basis points to 200 basis points for the year. Tim, does that jive with kind of your thinking? Or do you expect some bare contributions from Aerie in the back half of the year? Thanks guys.
Tim Stonesifer: No, I think it will be pretty consistent with how we guided on the last call. It's about 2 points of growth.
Ryan Zimmerman: Yes. Okay. Understood. Thank you, guys for taking the questions.
Operator: Our next question comes from Veronica Dubajova with Citi. Please go ahead.
Veronika Dubajova: Hi, guys. Good afternoon. And thank you for taking my questions. Let me start with just a bigger picture for the full year. Obviously, lots of moving parts in the business, David, that if I extrapolate the growth rate that you've delivered over the year, the comp fees you're guiding for a deceleration in spite of that, other than the market commentary that you've made about the back half of the year, anything else that's worrying you as you think about the remainder of the year? Or is this just being a bit conservative? And then I have a follow-up after that. 
David Endicott: Yes, Veronika, look, I mean the comps are a little easier, as you know, in the first quarter, so you should expect that to be a little bit higher. So don't forget that there was really -- China, last year, was in a tough spot. Japan was in a tough spot. Our Asia business broadly -- and then we still had some coronavirus stuff going on in even some of the western markets. So the first quarter is going to be a little bit better than, I think, the rest of the quarters.  That said, I don't think we're trying to forecast anything other than a belief that there's enough news out there to be careful and be prudent about how we think about the back half of the year. And that's really all we're trading. We could be wrong on that assumption, and if we are, we'll be to the higher end of our guidance. But on the other hand, we think it's the right way to budget and we'll kind of move our way through the year and update this each quarter. So that's kind of how we've thought about the year. I'm not sure if that helped or was direct to your question, but that's what we've been doing.
Veronika Dubajova: Yes. No, no, no, that's really helpful. And then my second question was just on the consumables. And pricing specifically, it's a very impressive double-digit growth rate against in market that's growing mid-single digits. How broad-based have the pricing increase has been that you've been able to put through? And do you expect to for those to act through the remainder of the year? And that's it for me. Thanks guys.
David Endicott: Yes. Veronica, we are very pleased with the consumables business. I think it's fair to assume that our equipment revenue for the last several years that has been fairly robust is driving now a pull-through of consumables. And I think we have gained footprint all over the world, and I think that's obviously helping us drive the consumables business.  The price element of that is relatively modest. There is a price element to it, and we've historically not been able to do much there. But about one-third of our consumables are bought stand-alone without a contract. And in those cases, we've been able to raise some price. And as we come back around on contracts that maybe are three years old or maybe they didn't have price escalation clauses in them. We've begun -- we probably started this last year when inflation got hot. And as those contracts have matured and as we've been able to put and renegotiate them, we've been putting some price in. So consumables have picked up a little bit.  Again, we always see a little bit of downward pressure as well as governments are always squeezing the other way. But in this case, we've been able to kind of eke out, I think, a reasonable price assumption that should stick kind of for the rest of the year. And we'll go forward with as much of that as we can. But the main thing here, I think, really is consumable demand is quite good. And I think it's built on what has been a terrific international performance by Equipment and a real steady growth. I think U.S. had our best year ever last year and continues to do pretty well. So we're really doing well in Equipment, and that obviously drives our consumables.
Operator: Our next question comes from Larry Biegelsen with Wells Fargo. Please go ahead.
Larry Biegelsen: Good morning. Thanks for taking the questions. And congrats on a really nice quarter here. Could I just clarify the price of one-third of your growth? Is that to be 11% constant currency or one-third of the 7% reported?
David Endicott: That would be the reported number.
Larry Biegelsen: So one-third of the reported. Okay. And then we saw you got PRECISION 7 approved, David. Just curious what the launch plan is there. At the Analysts Meeting, you said you still had some work to do, but it looks like approval may have come earlier. So how are you thinking about the launch of Precision 7? I had one follow-up. 
David Endicott: Yes. We're not yet ready to launch PRECISION 7. We've got an inventory build to go on to. And we also want to give -- candidly, we want to give our sales force the time to promote what appear to be quite sensitive products to promotion. So we're going to time this one and position it very carefully. I think we'll have more news on that later in the year. I don't think what we're going to do right now is get that product out immediately as we build inventory for it. That will take us some time. But also, I would just say that the first quarter was encouraging around Total 30 and Total 30 toric and frankly, our toric in general. And we'd like to make sure that we get the full energy behind those products, as they are relatively large markets, fairly profitable for us and our existing markets that we know a lot about. So I think as we fine-tune our plans around P7, we'll be back to you with some plans around that. But directionally, right now, we're super happy with the momentum we have on existing products in the market. 
Larry Biegelsen: That's helpful. And David, you guys gave a lot of helpful numbers on this call. Sometimes it gets a little confusing. So I want to make sure I've heard this correctly, the ATIOL share in the U.S., I think that's where you said it was about two-third or 66% in your prepared remarks. That's down from over 80% a couple of quarters ago, if I'm comparing apples-to-apples. So what's going on there? And do you feel like the share has stabilized? Thanks.
David Endicott: No. You kind of misread that one just a little bit. We -- the 80% plus is a PCIOL share, which is a subset of ATIOL. So remember, ATIOL is the combination of toric lenses and PCIOL is you have the correcting lenses. And so that's what's going on there. And that number is down slightly, but really, it's a function of the -- we were over-indexed in Korea and under-indexed in China. And frankly, those -- Korea was way down and China was up. So I wouldn't make much of any particular share movement at this point.
Larry Biegelsen: Okay. Got it. Thank you.
Operator: Our next question comes from David Adlington with JPMorgan. Please go ahead.
David Adlington: Hi, guys. Thanks for taking the question. Maybe just on the SG&A expectations for Q2, Q3. I mean, you always have a step up in those quarters, should we expect something more than we've seen in previous years? And then just a follow-up, just in terms of foreign exchange, I just wondered -- I'm just starting to see how you have a bigger headwind now given the dollar seems to weakened against most currency sensitivity results. Thanks.
Tim Stonesifer: Yes. The SG&A lift will be very similar to what we've seen in prior years. So again, I would kind of use those same trends and go off of that. As far as the FX, it really -- a lot of people look at the DXY, the Bloomberg thing and the baskets there are different than our baskets. So we definitely see some strengthening of the U.S. dollar, particularly against the Aussie dollar, the Japanese yen and the Russian ruble. So we are certainly -- when you look at our basket of currencies, we are seeing some FX pressure.
David Adlington: Understood. Okay. Thank you.
Operator: [Operator Instructions] Our next question comes from Graham Doyle with UBS. Please go ahead.
Graham Doyle: Good afternoon, guys. Thanks for taking my questions. Just two from me. Firstly, just on contact lenses. It does look like you're taking meaningfully more share than maybe you have done in the last few quarters. And it seems to coincide with, I suppose, a broader international launch of a broader range of products. So I suppose, is this something we should get used to? Is the question on that? And then with regard to guidance, I mean, you've talked again about a sort of recessionary pressure or just the idea that you want to be slightly cautious in the second half just to make sure that you've got guidance in the right place. I suppose the flip side of that is if there is no pressure or no recession, is it fair to say there's upside to the current guidance then? Thank you.
David Endicott: Yes. Graham, obviously, on the second one, that's exactly you're reading it correctly. I mean if we're wrong, and again, we could be. We have no particular corn in the market of truth on when a recession happens. I think if it happens at all, I think we will be certainly to the high end of our revenue side. So I think we've been smart, I think, to and I think prudent to do this and just slide it out as we see it. So we'll keep moving it out as we can, but we'll update each quarter as we go through the year. And hopefully, the world is much more stable than is often reported. What I would say is on the other one -- on contact lens share, we did have a very good quarter on share. I do think it's a function of getting more products out there and also just some of those products maturing into their curves. So again, it takes a little while after you launch to get people samples, get them, fit sets, get those on to eye, get people confident with the products. It also happens to help a lot to see the toric products get out there. And I think as you get toric and sphere together, the toric tends to give a little bit of a halo to the sphere. So you get a little bit of a benefit from having a broader line in there where you can -- where the optometrist can just simply use a brand and fit most of their patients. And that, I think, is having a positive effect. So the first quarter was terrific that way. We obviously plan to do everything we can to continue that, and we'll have to see as we go forward how that takes shape. 
Graham Doyle: Maybe just a quick follow-up on the impacts of that for margin. I mean is it functionally just easier now to see some of this operating leverage drop through -- sort of when you've got that faster growth in contact lenses. So are you at the point where utilization is really working for you and contact lenses are sort of gross margin neutral to accretive to the group?
David Endicott: Well, I mean, Tim, you should comment on this as well. But I think directionally, what I would say is, as volumes increase, we tend to add additional lines and those lines mature kind of at a staggered basis, right? So as soon as we put one on -- like some of the ones we put on years ago are kind of now running full speed. They make a lens at the terminal value, and that's a good price. But along the way, we've added more. So you get a blended rate of cost of goods, which doesn't quite really mature until you've kind of stabilized all that and gotten themselves out there. So it grows kind of gently towards the outer years. We've obviously got some nice positive growth in a hurry here, and we're super confident about our ability now to generate long-term operating efficiency on the lines because I think we've already seen it on some of the ones that we put in several years ago. So we know our terminal values are right. I do think you'll just see steady growth in the kind of TPC margin, and that's probably the best way to think about it. Tim, do you want to add anything?
Tim Stonesifer: Yes. No, that's right. If you go back to the Capital Markets Day, that margin expansion chart that we showed by franchise, what we saw historically was gross margin pressure, but you were getting leverage on the SG&A, then you sort of had less pressure on the gross margins. And what we're seeing now and would expect to continue to see - is you get continued gross margin expansion as these lines become more mature and end up running at their optimal capacity. 
Graham Doyle: Awesome. Super clear. Thanks guys.
Operator: [Operator Instructions]
David Endicott: While we're waiting, Larry, I'd just like to clarify, I misspoke, that price growth is on a constant currency basis. Apologies for that.
Dan Cravens: Operator, we can take Steven Lichtman from Oppenheimer.
Operator: Our next question is from Steve Lichtman with Oppenheimer. Please go ahead.
Steve Lichtman: Thank you. Good morning, guys. Just two questions as follow-ups. One, you mentioned the comps in the first quarter. Obviously, it's been tricky to evaluate comps over the last few years. How much do you think comps played a part in the first quarter and there was there one or two segments that perhaps had a different impact than the rest of the business? And then secondly, it seems like China is seeing a pick up. Wondering if you could talk about how that country is doing for you across your key segments.
David Endicott: Yes, Steve, that's exactly where we saw it, which was Asia, in particular, was affected last year was slow to come through the year, and it has picked up in the first quarter. So that did help. I think everybody in the industry all over. So -- and certainly, China helps us it's 5% or 6% of our revenue. So I think we feel like that was a nice positive and certainly a little bit better than we expected. Japan also had a pretty good quarter, and I would just say that it was a little bit better than expected for us. So I think the markets in both cases, we've kind of seen a little bit better response than perhaps we'd forecasted. That said, I think you still had some other -- we had forecasted most of the other impacts correctly. And I think directionally, we see those as more modest in terms of change year-on-year. What was the second one?
Steve Lichtman: Just on the comp yes, sorry, just on the comps dynamic in the first quarter and if there was any segments that were different than others in terms of the impact there?
David Endicott: Not really. I mean, I don't think there was any business to business. There really wasn't some geographies. It was really a geography thing. So I would say that's the main thing.
Steve Lichtman: Got it. Thank you.
Operator: There are no further questions at this time. I would like to turn the floor back over to Dan Cravens for closing comments.
Dan Cravens: Great. Well, thanks, everybody, for joining us this morning. If you have any follow-up questions, please don't hesitate to reach out to either Allen Trang or myself in IR. Have a great rest of your day. Appreciate the time.
A - David Endicott: Thanks, everyone.
Operator: This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.